Operator: Good morning and good afternoon, ladies and gentlemen, and welcome to the Sasol interim financial results conference call. Today’s call will be hosted by David Constable, President and Chief Executive Officer, and Paul Victor, Group Financial Controller. Following the formal presentation by Sasol management, an interactive question and answer session will take place. A copy of today’s slide presentation is available at www.sasol.com. I would now like to turn the call over to David Constable. Please go ahead, sir.
David Constable: Thanks very much, Operator, and good day everyone. Thank you for joining us for our interim results conference call today. Joining me here in Johannesburg from Sasol are Bongani Nqwababa, our new Chief Financial Officer who started at Sasol on March 1 - a warm welcome to Bongani. Also on the call is Paul Victor, who has been an outstanding and extremely dedicated acting Chief Financial Officer, who will support me on today’s call. We also have with us other members of the Sasol Group executive committee, who will support us in responding to any questions you may have. As you would have seen today, we announced a resilient group-wide performance, notwithstanding an extremely tough macroeconomic environment. Despite the implementation of major corporate restructuring, our colleagues throughout the world have maintained their focus on safety, volume growth, increased sales and key strategic projects. Turning to Slide 4 in the pack, we’ll cover the following key messages today. I’ll begin by providing you with a high level overview of how our optimized operating model is providing Sasol with a solid platform to weather even the most severe of storms Next, we’ll spend some time reviewing our key performance achievements during the first half of the 2015 financial year. I’ll then provide you with an update on one of our most important initiatives, our business performance enhancement program. Of course, it’s clear that the current crude oil price presents challenging times for us. Instrumental to our ability to ride out the storm and maintain our momentum is our response to the low oil price environment. In December, the management team launched our oil price response plan. Today, we’ll update you on the cash conservation levers we are actioning as part of this plan. Paul will then go into more detail on our financial and operational performance. Before wrapping up, I’ll talk you through the advancements we’ve been making on our dual regional strategy primarily focusing on our Lake Charles chemicals project in the U.S., and we’ll conclude this morning’s session by recapping how Sasol continues to create value by proactively prioritizing our business activities. Moving on to Slide 5, on July 1 we implemented a completely revamped operating model. Eight months down the track, we definitely see it gaining traction and delivering results. Our new operating model aligns operating business units, regional operating hubs, strategic business units and group functions into an integrated value chain, producing liquid fuels, high value chemicals, and low carbon electricity. Having implemented our new model at the start of this financial year, we also updated our financial reporting according to new reportable segments. This slide summarizes the key operating model benefits which you will be familiar with, so I will not go into any further detail here. However, one important takeaway is that through our internal consolidation and right-sizing, we have radically streamlined our management layers. In fact, since 2013 we have reduced our top management layer by 61%. This reduction was brought about by more efficient reporting lines and by maximizing economies of scale. Next to Slide 6 and looking at our interim results, we had solid contributions across the value chain. In addition, our group safety recordable case rate, excluding illnesses, improved to 0.32, down appreciably from 0.36 at the start of the financial year. Turning to our sales volumes, performance chemicals were up 5%, base chemicals normalized sales volumes were up 1%, and liquid fuel sales in our energy business in southern Africa were up 3%. Through determined management action, our normalized cash fixed costs have continued to trend below inflation at 6.1% versus the South African PPI of 6.8% for the half year. Over the period, headline earnings per share were up 6% to R32,00 per share, and earnings per share increased by 53% to R32,04. The half year had a number of once-off items which for the most part impacted our performance positively, and Paul will explain these items further in just a few minutes. With significantly lower oil prices, the management team and the board revisited our group’s dividend policy. Last month, we moved away from a progressive dividend to a dividend cover range based on headline earnings per share. As a result, the company has declared an interim dividend of R7,00 per share for the first half of FY15, not dissimilar to last year’s record interim dividend of R8,00 per share. Turning to Slide 7, in the context of our large scale change program which commenced in 2011, we have refined our corporate strategy, streamlined our management structures, we adapted our systems and processes, and drove a comprehensive business performance enhancement program. Today as we navigate our way through a challenging global reality, it’s reassuring to know that at Sasol, we have been fixing the roof while the sun was shining. As a result and with our company redesign fully implemented, we are much better equipped to deal with any challenge. Looking at some of the specific details of our enhancement program, by December 31 we had signed off on approximately 1,500 employment separations, either through voluntary retrenchments or early retirements. We implemented a group-wide vacancy freeze and a hiring moratorium, which today are both delivering additional benefits to our cost optimization endeavors. As a result of our intensified efforts, we have increased our program target from at least R4 billion in annual savings to R4.3 billion at the end of FY16. If we look at our sustainable savings to date, we are sitting at R1 billion annually with restructuring charges of approximately R1.5 billion. However in the context of a lower for longer oil scenario, our change program efforts, although significant, are not sufficient. If we consider the views of external experts and the prevailing market sentiment, far more has to be done. Turning next to the graph on Slide 8, over the past several months we’ve seen a sharp decline in the average Brent crude oil price. This has had a severe knock-on effect on everyone in or affiliated with the oil industry. Forecasting the oil price trajectory remains challenging as the market is still in the process of determining a new short-term equilibrium price. Equally difficult is predicting when supply and demand will become more balanced. In parallel, storage constraints and geopolitical tensions must also be considered. What we know for certain is that current oil prices are too low to sustain drilling programs or to provide incentives for new upstream investments. Companies within the sector are substantially reducing their capital requirements and cutting exploration budgets. As is the case with our industry peers, we too are hampered by what many external experts expect to be a lower for longer oil scenario until at least mid-2016. In the longer term, the rebalancing of the supply-demand market will require additional volumes to replace global oil production declines coupled with demand growth. This is evident from the oval shading on the graph, which indicates a recovery to $80 per barrel in FY17. Today’s outlook is quite different to how we viewed the world only a few months ago. As a result in December 2014, we proactively formulated a comprehensive plan to protect cash in response to these oil price uncertainties. Moving on to Slide 9, having done considerable legwork, our response plan caters for a cash conservation target range of between R30 billion to R50 billion over the next 30 months. In all the activities we are working on to protect cash, safe, reliable and efficient operations remain non-negotiable for us. The response plan has flexible levers so that we can respond to the volatile macroeconomic environment while optimizing our ultimate profitability over the long term. The cash conservation levers we have formulated under the response plan are over and above the business performance enhancement program savings targets, and while our response plan protect cash over a relatively short period, the next 2.5 years, several initiatives we are actioning will also result in longer term cost savings. Here, based on our current analyses, we are looking at an addition R1 billion in annual sustainable savings from FY18. Next to Slide 10, several core levers underpin our 30-month response plan. These levers are summarized on your slide, reflecting the individual ranges which equate to the R30 billion to R50 billion cumulative target. Looking at each of the levers in more detail, turning first to cash cost savings, here we have identified an extensive list of activities which will deliver R4 billion to R7 billion. These activities include corporate policies relating to remuneration, travel, entertainment, professional services, and a broad category of discretionary spend items. In further optimizing our top and senior management layers of the company, we are looking at reducing our headcount by another 200 senior management personnel. Next, with a target of R5 billion to R9 billion through our gross margin and working capital lever, we are driving margin and efficiency improvements. We are also optimizing our account receivable balances and inventory on hand. Turning to capital structuring, as mentioned earlier, our board confirmed a change in our dividend policy based on a cover range. We are also considering other opportunities in this area, which has allowed us to set a target range of R8 billion to R12 billion. To our final level, in January we announced that we are right-sizing our capital portfolio, given uncertain external factors. As a result of this exercise, we decided to delay the final investment decision on our gas to liquids plant in the USA. We are also reprioritizing our other growth and sustenance capital projects. Here, our target range of R13 billion to R22 billion in the next 30 months. I’ll now hand it over to Paul, who will unpack our results in a little more detail for you. Paul?
Paul Victor: Thanks David. Good afternoon ladies and gentlemen. I’m pleased to present the 2015 half-year end results to you today, which are well within our guidance earnings range provided for in our trading statement. We continue to deliver an overall strong operational and cost performance despite a highly volatile macroeconomic environment, as signaled by the 19% decrease in crude oil prices for the period under review. Before moving to the details of the results, I would like to emphasize the following: first, management’s continued focus on factors within our control has resulted in a strong operational performance with overall increased volumes, cost containment and margin improvement despite a very challenging operating environment. Second, we have made significant progress on reducing our cost base through our business performance enhancement program and have increased the target to deliver at least R4.3 billion in sustainable cost savings by the end of the 2016 financial year. Finally, mitigating the challenges of the low oil price and continuing to deliver maximum sustainable value to our shareholders remains one of our top priorities. Moving to Slide 12, the macroeconomic environment driven by the significant decline in crude oil prices remained subdued and uncertain, thus creating conditions expected to continue in the following two years. We are expecting a lower for longer oil price environment, and as David has indicated, we have taken decisive actions to minimize the impact on our business. The average rand-U.S. dollar exchange rate was 9% weaker with a 19% lower Brent crude oil price. Chemical prices and margins, on the other hand, have been much more resilient during the period under review. The Sasol business, however, remained sensitive to significant movements in the rand-dollar exchange rate and oil prices, and we do remind you of our sensitivities to each of these variables. We estimate that a [indiscernible] change in the annual average rand-U.S. dollar exchange rate and a one dollar change in the crude oil price will affect our profit from global operations by approximately R605 million and R800 million respectively. Moving to Slide 13, as mentioned previously, our new operating model as well as the simplified legal structure came into effect on 1 July 2014. The results presented today reflect performance of our six reportable business segments organized along an integrated value chain. For further details on the new segmental reporting, I refer you to the detailed [indiscernible] announcement as well the supplementary information that we’ve published on our website since November of last year. Overall, the group delivered a strong operational performance as a result of increased sales volumes and improved margins in our performance chemicals and base chemicals strategic business units, and increased sales volumes in our energy business unit. Headline earnings per share increased by 6% to R32.00 per share. Profit from operations of R30 billion was up 39%. This increase was positively impacted by one-off items of R6.8 billion driven by macroeconomic factors, changes to the share price, and our decision to operationalize our 2050 strategy. Focusing on our value chain, our operating business unit delivered an overall strong performance driven largely by stellar production performance from mining. In our strategic business units, the energy business was impacted by the lower oil price; however, through focused management interventions, the business increased liquid sales volumes by 3% and reported high refining margins on the back of strong product differentials. Turning to our international energy portfolio, ORYX GTL delivered a solid operational performance with an average utilization rate of 91% for the period, despite an earlier than planned shutdown during December 2014. In our chemicals businesses, both improved volumes as well as resilient margins boosted profitability, contributing 44% to the group’s profit. Moving to Slide 14, the weaker rand-dollar exchange rate increased profitability by 12%. This benefit was, however, overshadowed by the lower oil price which adversely affected profit by 20%. Profit from operations increased by 54% as a result of the following once-off items and period-end adjustments: a R3.7 billion lower share-based payment charge following a 32% decrease in our share price over the last six months, lower depreciation and rehabilitation charges of R2.5 billion due to the change in the useful life of our South African assets in accordance with our 2050 strategy, and lastly lower re-measurement items of R171 million compared to R5.7 billion in the prior period mainly due to the R5.3 billion Canadian impairment booked during the first half of financial year ’14. High depreciation charges in respect of new plants as well as inflation on cost adversely affected profitability by 13%. We are pleased to report a 6% increase in the sales volumes across the group. This is on the back of a 7% increase in sales volumes recorded for the comparative period. The Sasol increase in sales volumes of 13% over the last two years amounts to R7 billion in real terms. Moving to Slide 15, we are extremely pleased with our continued cost performance. The increase in normalized cash fixed costs has been contained to 0.7% below the South African producer price inflation of 6.8% for the first half of the 2015 financial year. Our cost savings mindset of driving sustainable cost reduction in the group delivered this strong performance, this despite cost pressures arising from the South African cost environment in respect of labor, maintenance and electricity costs. In addition, sustainable savings from our business performance enhancement program for the first six months amounted to R991 million while cash implementation costs of the business performance enhancement program as well as growth costs added a further 6.9% to the total cash fixed costs. Overall, we benefited from a weaker rand-dollar exchange rate, but the impact of the weaker rand added a further 1.5% to the total cash fixed cost base. Labor, maintenance and energy remains the main drivers of our cost base, with labor comprising now approximately 55% of our total cash fixed cost base. Our strategy to control energy costs has seen us maintaining our electricity generating capacity in South Africa to around 70% of our own requirements. We expect electricity cost inflation to be in the double digits again in the forthcoming financial year. Finally, cost reduction continues to be one of the critical focus areas for management, and through our business performance enhancement program and our recently launched response plan, we aim to beat the rising cost streams in a safe and sustainable manner. Moving on to Slide 16, focusing on our operating business units, mining profits from operations increased by 66% mainly on the back of a 5% increase in production volumes. The benefits of our business performance enhancement program coupled with further operations flexibility created by the mine replacement program resulted in unit costs from operations being contained to well below inflation, the first time since 2010. Exploration and production international recorded a loss from operations of R1.7 billion. Our Mozambican operations were positively impacted by favorable gas prices whilst volumes remained at similar levels compared to the prior period. We are progressing well with our growth programs in Mozambique and further updates will be provided to the market once confirmed. In Gabon, our assets were under pressure due to the decline in oil prices and the unfortunate souring of wells, which resulted in a partial impairment of R1.3 billion. In Nigeria, we relinquished our exploration licenses and incurred a loss of R565 million. Our Canadian upstream assets generated a loss from operations of R584 million, mainly due the lower gas prices as well as reduced drilling activities. The 91% improvement in the loss from operations was mainly due to the lower depreciation and operational costs as well as a R5.3 billion impairment recognized in the prior period. We continue to execute on improved development planning in conjunction with our joint venture partner, Progress Energy, [indiscernible] asset with specific emphasis on the Cypress A acreage. Moving to Slide 17, [indiscernible] by overall slowing production volumes, our energy business delivered a pleasing set of results with Secunda Synfuels and [indiscernible] increasing production by 2% and 6% respectively. Our Southern African energy portfolio was adversely impacted by the increased cost of production as well as reduction in [indiscernible] process, which resulted in an 18% lower gross margin. Our business performance enhancement program, however, continues to deliver results in all facets of our business and we expect normalized cash costs per unit for the full year to be below SA PPI. Our ORYX GTL joint venture delivered a solid performance despite an earlier than planned shutdown. Our share of the profit from the joint venture decreased to R1.3 billion mainly due to the shutdown and the oil prices. The plant achieved a 91% utilization rate, which is ahead of the previous guidance provided. Moving to Slide 18, we have continued to see an increase in sales volumes and margin resilience in our chemicals business. Base chemicals SBU delivered a pleasing performance with increase profit from operations by 42%. Our chemicals basket dollar prices have declined by 5% comparison with a 19% decline in average Brent crude oil prices; however, sales volumes normalized for the sale of the Solvents Germany and Middle East polymer marketing operations increased by 1%. This business also benefited from the impact of the extension of the useful life of assets in South Africa, amounting to R899 million. The performance chemicals SBU recorded another exceptional performance underpinned by consistent and reliable operation delivery and a weaker rand. Profit from operations increased by 60% to R7.4 billion whilst operating margins expanded by 6% to 19%. Sales volumes increased by 5% due to improved production output on the back of high demand. Our U.S. business is still realizing healthy margins despite the decrease in sales prices. Our European operations continued to report improved volumes coupled with resilient margins. In our South African operations, we recognized a partial impairment reversal of R1.3 billion of the wax expansion project as a result of the impact of weaker rand exchange rates as well as the decision to extend the useful life of the plant beyond 2029. Moving to Slide 19, I would like to expand on what David touched on earlier in respect of our business performance enhancement program. We have increased our savings target and now expect to generate sustainable annual savings of at least R4.3 billion at the end of the 2016 financial year. We have achieved actual year-to-date savings of R991 million and expect to save R1.5 billion in savings for the 2015 financial year. This represents an annualized run rate of about R2.2 billion. Project implementation costs of R1.5 billion were incurred for the six months to date and are expected to peak at approximately R2.1 billion at the end of our 2015 financial year before tapering off in the 2016 financial year as the project reaches its final stages of implementation. We then expect cash fixed costs to follow inflation from the 2017 financial year. As David mentioned earlier, through our various [indiscernible] activities, we plan to deliver further sustainable cost savings of R1 billion as from financial year 2018. This is in addition to the business performance enhancement savings of at least R4.3 billion by financial year 2016. Moving on to Slide 20, taking various factors into account including overall market conditions, the group’s financial position, capital investment plans as well as earnings growth, an interim dividend of R7,00 per share has been declared. As part of the capital structuring lever of the response plan, the management team and the Sasol board of directors has evaluated and changed the company’s progressive dividend policy. The revised policy is based on a dividend cover range of a corridor of between 2.2 times and 2.8 times of headline earnings per share. Our objective, considering the factors mentioned earlier, is to maintain a 40 to 60 interim to final dividend split. This policy, together with the other components of the response plan will provide sufficient flexibility for the company to manage its balance sheet, execute on its growth program, while continuing to return maximum sustainable value to our shareholders through dividend payouts. Moving to Slide 21, another critical lever of the response plan is the re-prioritization of our capital portfolio. We have revised our 2015 capital expenditures down from R50 billion to R45 billion. Our 2016 capital estimate will remain at R65 billion. This estimate, however, negates a R4 billion impact of the weakening rand on our capital portfolio. A further R8 billion to R13 billion in capital reduction is planned for the 2017 financial year. Even though we are reducing capital and other costs, I would like to emphasize that safe, reliable and sustainable operations are non-negotiable and that management will continue to drive world-class safety practices across all operations. It’s also important to note that critical and strategic growth projects in North American and Southern Africa will continue as we evaluate new opportunities for further growth. Turning to Slide 22, we continue to focus on the factors within our control, that being volume growth, margin enhancement and cost reduction. We expect an overall strong production performance for the remainder of the 2015 financial year. Total South African liquid fuel sales volumes are expected to be around 59 million barrels for the year. We expect ORYX GTL’s average utilization rate to continue to be about 90%. Our chemicals business will keep on driving improved volumes and margin enhancement. Base chemicals normal sales volumes are expected to be slightly higher than financial year ’14 with margins coming under some pressure during the second half of financial year compared to the first half of the financial year, and performance chemicals sales volumes are expected to outperform financial year ’14 with increased market demand coupled with resilient margins. We expect normalized cash fixed costs to follow inflation, the response plan’s cost contribution to range between R6 billion and R10 billion for financial year ’15, and average Brent crude oil prices to be at least 30% lower in the second half of this financial year compared to the first half of the financial year. On that note, I hand back to David.
David Constable: Thank you, Paul. To reach our overarching goal of delivering shareholder value sustainably, it’s important that we maintain focus on our dual regional strategy here in Southern Africa and North America. This approach complements our other important business activities in Eurasia, the Middle East, and the rest of Africa. Looking at the U.S. specifically and turning to Slide 24, we’re proceeding with the construction of our $8.9 billion ethane cracker and derivatives complex in Louisiana, as all of you know. In December 2014, we established a $4 billion credit facility which will be used to finance the project. We’ve already secured 80% of the funds required through a combination of project finance and our own equity contributions. The robust project economics benefit from an advantaged site location which expands on our existing operations, economies of scale that improve our cost structure, and upgraded infrastructure and utilities which drive further efficiencies. The new cracker complex will roughly triple the capacity of the Lake Charles site. Furthermore, our product slate distinguished our investment from most of the other crackers that have been announced. Our project combines commodity and specialty products which will leverage low-cost U.S. ethane feedstocks, and note that specialty chemicals produced will deliver high value returns even as chemical markets fluctuate. To oversee the execution phase of the project, we have an extremely experienced owners team in place and have progressed several key milestones. Site work is proceeding safely and efficiently and we expect that the plant will achieve mechanical completion at the end of calendar year 2017. Beneficial operations are on track for the first half of calendar year ’18. Slide 25 summarizes our broader contributions in Southern Africa. This slide is self explanatory, so let me just make a few general comments here on air quality and carbon emissions. Responsible operations are at the heart of our corporate commitments, and to ensure our ongoing compliance with new air quality regulations in South Africa we applied for certain postponements to manage our short-term challenges relating to the compliance time frames. We have now received decisions on our postponement applications from the National Air Quality Officer, which while aligned with our request impose some stretch targets. Our focus is now on the alignment of our licenses to reflect these postponement decisions and on implementing our air quality emission reduction roadmaps, including community-based offsets to substantially improve ambient air quality where we operate. As an important aside, it is a given that increasing South Africa’s investment attractiveness and alleviating the current electricity crisis are top priorities for the government. It therefore remains our position that the implementation of a carbon tax any time in the foreseeable future would be ill advised and instead add a further cost burden to the economy. At the same time, we are concerned that the proposed carbon tax will diminish South Africa’s international competitiveness and result in a range of other unintended consequences. In our view, the country needs appropriate incentives to invest in new more energy efficient processes and projects that improve our energy security and lower our greenhouse gas emissions. Looking at the final slide, Slide 26, in order to build on our successes, whatever the global circumstances, we are focusing on enhancing our existing assets and on driving selective growth opportunities. In 2011, we undertook to get the operational basics right. Today, our R14 billion Secunda growth program is nearing completion with volume and electricity benefits now fully realized. Group-wide, we continue to generate improved volumes from our global operations. Our business performance enhancement program is also delivering results with simplified company-wide structures, reduced management layers, and costs contained within inflation. In South Africa specifically, we have embarked on an extensive 2050 strategy to ensure the efficiency and reliability of our in-country operations to the middle of the century. Looking at our selective growth opportunities, our dual regional strategy remains compelling. In America, our Lake Charles chemical project is advancing, while in Southern Africa we submitted our full field development plan for the production sharing agreement to the Mozambican authorities on February 25. Also in Mozambique, our 175 megawatt gas-fired power plant is ramping up nicely. Once fully operational, the plant will supply electricity to more than 2 million Mozambicans, which equates to 8% of the country’s current demand. Here in South Africa, the expansion of our wax facility in Sasolburg is progressing well with Phase 1 commissioning of the new slurry bed reactor scheduled for the first half of this calendar year. Phase 2 beneficial operation is on track for the first half of calendar year ’17. As you can see from this slide, both our existing asset and selective growth pillars are now underpinned by our response plan, thereby serving to create more value. Here, our prioritized plan, supported by a solid balance sheet, underpin our flexible dividend policy based on a cover range. In the half year, we continue to deliver an overall strong operational and cost performance. With oil prices moving dramatically lower over the last six months, the management team has formulated a comprehensive response plan to conserve cash and further refine our organizational structures and near-term strategies. The benefits of the detail work we are doing now will ensure that Sasol emerges from the current challenging macroeconomic environment as an even leaner and more focused business. With that, we’d now be happy to open it up for any questions you may have. Operator?
Operator: [Operator instructions] We’ll take our first question from Caroline Learmonth with Barclays.
Caroline Learmonth: Thank you. On Uzbekistan GTL, I see in the detail that it used to be classified as an asset for sale and now it’s been brought back into use, based on the group’s intention to further develop the asset. So could you give us some background on that? I see there’s been a provision taken against it as well. Then secondly just on the U.S. GTL, and I note the study cost clearly causes an impact on cash fixed costs for the energy business. How much has been spent on U.S. GTL studies to date, and how much was spent in the first half? I see as well in the detail that land acquisitions in the U.S. continue for future projects. How much of that relates to U.S. GTL? Then just finally, you mentioned the Mozambique one-off social growth development cost of R443 million. Could you just give a little bit of a flavor of what that entails? Thanks very much.
David Constable: Thanks for the questions, Caroline. I’ll kick off with Uzbek GTL and have Paul chime in on GTL study costs and land acquisition, and we’ll get to Mozambique as well. Uzbek GTL, as you know, we were sitting at 44.5% shareholding in that project and looking to sell down and spread risk on the project down to 25.5%. Right now, we’re looking at a revised business model. It has moved from held for sale back into in use, and that business model that we’re looking at would envision Sasol not spending any more capital on the project but looking at a business model where we would be licensing our technology, deploying catalysts to the project, and providing technical services, including project management and technical support to get the project up and running. So that’s where it stands right now. We’re busy in negotiations. Things look very positive from our perspective - like I said, a business model, we’re working on it, it looks very favorable to Sasol and gets us into licensing, which is something that has been of interest for us in that space as well. So that’s Uzbek GTL. U.S. GTL study costs spent to date is in the neighborhood of $300 million; but Paul, can you give us the details?
Paul Victor: Thanks Caroline. So basically if I look in terms of what we have spent thus far in total on the U.S. GTL, it’s just over $300 million in total. Then obviously not all of the costs one can capitalize, so roughly R160 million of GTL’s study costs that you cannot carry on your balance sheet, that really relates to business establishment top off cost and marketing cost. That R160 million, that will be the growth on the period to period, that’s a portion that we could not capitalize and that we expense, and you will also see that as part of the cash fixed cost declaration and exploration under the energy bucket. Focusing on the land, David, if I can address that question, ultimately--and we also shared that when we were overseas during the visit in Lake Charles, is that there’s two components of land. The first basically acquiring of the land and then also the voluntary purchase program that we have. Now in total, the land, buying the land is going to cost us roughly $240 million, of which $120 million has been apportioned to the cracker and $120 million has been apportioned to the GTL. Of the $120 million that’s allocated to the GTL, we have spent $90 million thus far, and ultimately there’s a remaining $30 million that still needs to be spent. We do however plan to continue and to acquire all the land, notwithstanding the fact that we have delayed the U.S. GTL decision.
David Constable: Thanks Paul. Then the Mozambican development fund that you were asking about, that is a downstream gas market development fund that we are contributing to through our partners in Mozambique to hopefully get additional downstream projects off the ground which can obviously benefit our oil and gas development activities in the country, so that’s where we’re working with the IFC and E&H, our partners, to put that fund together and, like I say, help develop the downstream gas markets in Mozambique.
Caroline Learmonth: Okay, thank you very much.
Operator: Our next question will go to Jarrett Geldenhuys with Investec.
Jarrett Geldenhuys: Hello everyone. Thanks very much for the opportunity. I’ve also got three questions, please, firstly on maintenance capex. I realize you say that your volumes are paramount. I just would like to know where exactly and in which business units the maintenance capex savings seems to be coming through. Then the second question just relates to the chemical volumes, so good performance from chemicals. I just want to know if you can fill this out of what is the contribution from--positive contribution from EPU5 as well as the C3 stabilization plant, and I suppose operations in general relative to market demand. Then the last question is just in addition to these additional R1 billion worth of cost savings which you mentioned is sustainable from 2018. I just want to understand the scope difference between this and Project Phoenix, or is this just more efficiencies coming out of Project Phoenix? That’s about it, thanks very much.
David Constable: Thanks Jarrett. I’ll ask on the first one if Paul can talk about the maintenance capex savings, and I’ll talk about chemicals volumes, and then I think Paul has got the R1 billion answer as well. Go ahead, Paul.
Paul Victor: Good. Thanks Jarrett. Yes, so basically when we look in terms of the maintenance capital expenditures, we were obviously now thinking a lot of non-negotiables in terms of tapping future cash savings from. So specifically the shutdown in Secunda, the renewal program, and specifically all the maintenance work on the GLs and the boilers and so forth that we haven’t optimized. But there is a big portion of, let’s say, other sustenance capital projects that we’ve looked at across the value chain and where we’ve either delayed or stopped a project, so the whole value chain was however impacted by the reduction of the optimization of the sustenance spend, and ultimately we have provided those ranges, and ultimately certain non-negotiables that are specifically ensuring long-term sustainability, reliability, and availability of the plants.
David Constable: Thanks Paul. Jarrett, you’re exactly correct on chemicals volumes, certainly in polymers. EPU5, which has been up and running since last year now, added an additional 47,000 tons annually and reduced flaring. I think we’ve talked about the flaring that was reduced from 7% to 1%, based on that installation. C3 stabilization reached beneficial operation just at the very end of our last--I guess at the start of this financial year, and added another 58,000 tons per year. So those are two key areas that we see coming through nicely in polymers, and then keep an eye out for the C3 expansion which has beneficial operation in June of this year with a capacity of 105,000 tons per year. So those two existing and one coming on shortly will be very nice for part of the base chemicals business. Paul, R1 billion sustainable savings response plan FY18?
Paul Victor: So the question is on the sustainability and whether it’s just a further extension of Project Phoenix. We don’t see it. We really drive the response plan of such additional project in our business. In terms of looking at the sustainability, yes, from a theme perspective it’s actually levering further efficiency improvement in our overall cash cost base, who while Project Phoenix is very much focused on the cash fixed cost base and limited to other cash costs, the response plan is actually looking at the overall cash cost basis to really open up, let’s say, the size of the prize a bit more. In terms of the general themes that you are looking for, we are further optimizing our structures as we previously communicated to the consolidation of international energy and South African energy as one example. We also saw in our savings announcement, we are also levering not filling certain non-critical vacancies, and we plan to see whether we can actually continue with that right-sized establishment going forward. David also spoke about the 250 managerial staff that we further optimized as a result of the response plan, and then generally we’re also looking quite differently at our supply chain and also renegotiating contracts quite more diligently as part of this process in order to save cash costs on a sustainable basis. So definitely the theme is on much more efficiency but taking a little bit more focus on a wider cost bucket as opposed to Project Phoenix.
David Constable: Thanks Paul. Thanks Jarrett. We’ll take the next question.
Operator: Next we’ll move on to Alex Comer with JP Morgan.
Alex Comer: Hi, [indiscernible]. Firstly, you extended the life of your plant--
David Constable: Sorry Alex. Operator, we can’t hear the question.
Alex Comer: Can you hear me? Hello?
David Constable: That’s a little better. Thanks, Alex.
Alex Comer: Yes. You extended the life of your plant to 2050, and that helped boost earnings a little bit. I was just wondering what--did you include any sort of carbon tax in the assumption when you did that, given that if you look at the IA, you have some very significant carbon costs going forward - that’s the first question. Secondly, historically you’ve given out U.S. profit, so I would assume that the ports chemicals business did very well on the back of the existing Lake Charles cracker. Maybe you could give an indication of what U.S. profits were and also how that’s panned out in the first few months of this year. Also, I noticed that overall electricity costs seem to have gone down, which I’m surprised at given SCOM’s [ph] hikes, so I just wondered what the situation was there. Those are my three questions.
David Constable: Thanks Alex. I think we’re going to give these all to Paul. 2050 strategy, obviously you need to take CO2 into consideration. Let’s start with that one, Paul.
Paul Victor: Good. Alex, we have taken carbon tax into account. We have taken certain assumptions and we were conservative in terms of the impact of carbon tax in our 2015 modeling; however, we haven’t take a cliff into account in our modeling due to the uncertainty of exactly how the long-term legislation will play out in terms of carbon tax. So to answer your question, yes, we have included that. In terms of the U.S. profits from our business there, it saw healthy profits in the region of R4 billion-plus for the six months under review, being contributed from our U.S. assets. Then on the electricity side, there is also some benefit in terms of the short term PPAs that gets offset against the cost of your electricity, and we have seen good stability also in our plants that reduces the requirement to import electricity from SCOM.
Alex Comer: Okay, thanks Paul. What charge per ton did you include in for the CO2, then?
Paul Victor: Alex, we’re not going to disclose that. We have said previously in terms of the mechanism that there are certain reductions and rebates that we are taking into account, and we’ve previously signaled between a 60 to 70% offset, and within that range we applied the carbon tax.
David Constable: Yeah, that gets you the answer. We took the thresholds into account, and then built it on top of the main price--or took it off the main price.
Alex Comer: Okay, thanks.
David Constable: Thanks Alex. Operator?
Operator: Next we’ll go to Gerhard Engelbrecht with Macquarie.
Gerhard Engelbrecht: Good afternoon. Just a couple of questions. Just on the costs that you’ve spent on gas to liquids, I guess the two elements is you’ve capitalized some of the GTL costs in the USA after concluding your feasibility study. What’s the situation there - are you looking to impair those costs? Do you have any idea of how much money you’ve spent on gas to liquids and total liquids projects, let’s say over the last decade of projects that haven’t materialized? And then I see that you increased your drilling budget in Canada from $369 million in 2014 to $389 million this year. Is that--would you say that’s prudent in the current environment, and do you have control over this capex? Can you cut back if you need to? Lastly, maybe just try and explain this reclassifying the company as a specialty chemicals company. Surely that’s not in line with your production profile.
David Constable: Thanks Gerhard. We’ll start with the USA, the feasibility study costs and moving into feed and the capitalization of same. Paul?
Paul Victor: Yes, as I’ve said before, ultimately what’s on the balance sheet is in order of $300 million. Basically we--at half year-end, we had a look at it and the accounting rule that you apply is if you--we haven’t cancelled the project, we just delayed the project, so if we can use those engineering studies going forward, which we plan to do based on future economics and FID discussion, then you can carry it on your balance sheet. It’s only when you’ve made the decision not to continue with the project and to cancel it officially that you have to impair it. You will also notice that we have written off around about $2.5 million of that cost, which is certainly not substantial, but our auditors also feel comfortable that given accounting rules that we are actually allowed to capitalize and continue to capitalize until such time as we make a future investment decision.
David Constable: Thanks Paul. On Canada on the drilling costs, we are, as Paul said earlier, de-risking that asset, spending minimal amounts of capital. We have two rigs running. We did have two rigs running in the first half of the year, one on Farrell Creek, one on Cypress A, and we want to look more into the Cypress A asset so we’ll be adding one rig, and in fact we’ve just added a third rig, so we’ve got two rigs working on Cypress and just one at Farrell Creek. That’s a very low rig count to just continue de-risking the asset. I think we’re at 5% complete, so it’s a long, long way to go as we work through that drilling program. By the way, the drilling costs have come down below our investment case, which is also positive. The average well costs in the first half were down to $7.8 million for drilling and completion, so that’s very good news, well below the investment case. Do we have control? We definitely have a say in the capex funding and the development plan there, which is done on calendar years, and participate--certainly have a voice and a say in how to proceed with rigs. So we’re comfortable that we’re sufficiently involved with the operator there, who I should say we’ve seen great performance from Progress Energy on the operations of that asset. Chemicals company, the JSE has advised that we’re a chemicals company. I will also say that 56.2% of our revenues generated in the first half were from chemicals and 44% of our profits, so certainly that helps in that regard. I’m not sure how JSE does it. Paul, can you give us--?
Paul Victor: Yes, so basically they look at your assets, they look at your earnings, and based on that profile and also in terms of the previous segmental information that we’ve presented, we have been now classified as part of the INDI 25, and in similar vein the [indiscernible] will do exactly the same, and we also expect a rewriting from--or reclassification, apologies, from them in terms of the industry sector in which we’re going to be consolidated in.
David Constable: Thanks Gerhard. Operator, we’ll take one more question today, thanks very much.
Operator: Okay, next we’ll hear from Nishal Ramloutan with UBS.
Nishal Ramloutan: Hi, good day guys. Thanks for the opportunity. Just in terms of the performance plan, [indiscernible], can you maybe give us some guidance in terms of how we should look at that year-over-year, because if I just look at capex, for instance, so you’re talking about R13 billion to R22 million in the next 30 months, but there’s only about R5 billion in FY15 and then the rest is delivered FY17. So it would be pretty helpful if you can just give us some guidance as to what to expect year-by-year. I know you said 6 to 10 this year. And just that R5 billion capex cost for FY15, can you maybe just give us some color in terms of what is that made out of, and also just indicate what portion of that is the delay in the GTL progress and then what makes up the other components. Just in terms of that R4 billion to R7 billion cost saving reduction, which is also part of the response plan, just examples that you gave, it sort of indicates--you know, my impression is that that should have been something that should be captured in Project Phoenix, so can you give a bit more color in terms of what exactly that is? Why is only R1 billion of that sustainable? And then just--yes, I think I’ll just leave it at that.
David Constable: Okay. Just on your second question and then I’ll turn it over to Paul for the response plan targets, the R1 billion sustainable savings, as you know, will be on top of the Phoenix savings of R4.3 billion, so that R1 billion of cash cost savings, as Paul went through that, those vacancies of 500 to 1,000 people is going to drive a good portion of that savings. We think we can run the company as a leaner organization going forward, and only fill critical vacancies going forward. So our moratorium on hiring, freezing of hiring is going to allow us to see that savings in addition to Phoenix. That was not the plan under Phoenix. Those positions were going to be filled previously, but from what we’re seeing now and getting into it and analyzing it further, we think we can see a good chunk of the sustainable response plan savings from the vacancies. Then I think--I’m just giving you a couple big ones, because Paul mentioned a lot of dogs and cats in there as well, but the other big one are the 200 permanent management people, further structural change to reduce 200 more senior management personnel. That’s a big change to what we had over and above Phoenix, and we’re comfortable that those are sustainable moves as well based on our new structures. Paul, on targets, response plan, and a little more color on the capital, both capital growth and sustenance?
Paul Victor: So Nishal, basically the reason why we have given the R30 billion to R50 billion range is also to take into account, as David also mentioned, that we are watching and seeing where the market is going in terms of finding a new equilibrium. So it’s also important for us as the market picks up that we will start to also execute growth programs that can add future sustainable value, so it’s really depending also on where share prices--or sorry, where oil prices go [indiscernible], and that’s why you see the wider range. Now in terms of guidance for every financial year, we are providing guidance for this year. You can make a call in terms of the remaining portion of the 30 to 50 over the following two years, because effectively these two years, that remains. So we will provide guidance in every financial year as we progress, and also as we see where oil prices go and how the macroeconomics are going to play out. So there’s a lot of dynamics and also flexibility that we’ve built into the response plan to also react quicker or even slower as oil prices pick up or stay at the current levels. So at this stage, we don’t provide any further guidance on that. Your second question in terms of what actually makes up the R5 billion, obviously there’s a lot of projects that you have gone through. The key ones obviously will be your U.S. GTL deferral - that will be the first one. Secondly, we’ve also delayed the swing [ph] on [indiscernible] fields 2, for example. There’s also a couple of other sustenance projects that we’ve delayed that surely later I’ll talk in a little more detail about, and then also in terms of what we originally planned to spend in the Montney versus what we’re actually spending in the Montney is also less. So those are really the four big ticket items making your R5 billion up.
Nishal Ramloutan: Okay, so just a follow-up. So the 200 for the management positions cut, what would be the cost of implementing that, because I assume there will be a cost for that.
Paul Victor: Yes, sure. There will be a cost, but that has already been factored into our response plan activity. You will not see that as being part of the $2.1 billion that we’ve indicated for Project Phoenix. It will be separate to that; however, we do believe in terms of the savings potential of the response plan, even in this year specifically with regards to those 200 positions as well as not filling vacancies and doing all the other things that we’ve spoken about, it will be self-funding and also contributing already in the 2015 financial year.
David Constable: Good, thanks very much for calling in today. Gerhard, we’ll get back to you on the CTL GTL question and how much has been spent over the last decade or so - we’ll get into that with you as well sometime this week. I want to thank everyone for joining us and look forward to--Paul and I look forward, and Bongani, look forward to visiting with many of you during our upcoming investor and analyst road shows over the next few weeks. So thanks again. Take care, bye bye.
Operator: That will conclude today’s call. We thank you for your participation.